Operator: Good day, ladies and gentlemen, and welcome to the Akamai Technologies Inc. First Quarter 2018 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session, and instructions will be given at that time. [Operator Instructions] As a reminder, today's program is being recorded. And I would now like introduce your host for today's program, Tom Barth, Head of Investor Relations. Please go ahead.
Tom Barth : Good afternoon, and thank you for joining Akamai's first quarter 2018 earnings conference call. Speaking today will be Tom Leighton, Akamai's Chief Executive Officer; and Jim Benson, Akamai's Chief Financial Officer. Before we get started, please note that today's comments include forward-looking statements, including statements regarding revenue and earnings guidance. These forward-looking statements are subject to risk and uncertainties and involve a number of factors that could cause actual results to differ materially from those expressed or implied by such statements. Additional information concerning these factors is contained in Akamai's filings with the SEC, including our annual report on Form 10-K and quarterly reports on Form 10-Q. The forward-looking statements included in this call represent the company's view on April 30, 2018. Akamai disclaims any obligation to update these statements to reflect future events or circumstances. As a reminder, we'll be referring to some non-GAAP financial metrics during today's call. A detailed reconciliation of GAAP and non-GAAP metrics can be found under the financial portion of the Investor Relations section of our website. And with that, let me turn the call over to Tom.
Thomson Leighton: Thanks, Tom, and thank you all for joining us today. Akamai delivered excellent results in the first quarter. Revenue was at record $669 million, up 11% over Q1 of last year. With strong performance across all sectors of the business. Q1 non-GAAP EPS was $0.79 per diluted share, up 22% year-over-year. This very strong result was driven by the acceleration in our revenue growth rate, the impact of the cost reductions that we made in the fourth quarter of last year and a lower tax rate. EBITDA margins in Q1 improved to 38% and non-GAAP operating margins were 25%. We expect further improvements in margins by the end of the year impart because of the additional cost reduction actions that we took in Q1. And we're continuing our work to find a path to achieve non-GAAP operating margins of 30% in 2020, while also continuing to invest in the development of new products to fuel our future growth. Our security portfolio was again the fastest growing part of our business in Q1, with revenue of $149 million, up 36% over Q1 of last year. The strong growth of our security business was driven by our market leading Kona Site Defender and Prolexic Solutions, as well as our new Bot Manager Premier and Nominum Services. Each of these solutions has proven to be highly effective against some very large and sophisticated cyber-attacks. For example in February, we used our Prolexic Solutions to defend one of our customers against what we believe to be the largest DDoS attack ever recorded deflecting more than 1.3 terabits per second of attack traffic. It's always hard to comprehend numbers this big. But to put it into context, 1.3 terabits per second of attack traffic is enough to overwhelm most data centers and internet service providers. And even many countries internet connections to the rest of the world. It's also more than double the amount of traffic we saw from Mirai IoT botnet attacks in late 2016. In another example, a few weeks ago, we used our Bot Manager Premier and Kona Site Defender Solutions to defend a large ecommerce customer against one of the most sophisticated bot attacks that we've ever seen. In this case the attacker was attempting to buy out the site's entire inventory during a promotional sales event. So that they could later resale the merchandise at a higher price on the gray market. The attacker deployed a very large botnet to generate 800,000 transactions per minute more than 100 times normal. But Akamai was able to accurately detect and filter out the malicious transaction request and only allow legitimate users into the site to buy the merchandize. Bot Manager Premier uses sophisticated AI and machine learning technology to analyze the motions and actions on the requesting device in order to distinguish between human neuromuscular signatures and machine generated requests. This technology is especially effective in floating bots that are trying to take over end user accounts. At the recent RSA conference in San Francisco, a leader at one of the world's largest financial institutions told me that when they deployed Bot Manager Premier, the number of their accounts that were compromised by bots dropped from over 8,000 per month to just 1 or 2 per month, that's not 1,000 or 2,000 per month it's now literally just 1 or 2 compromised accounts per month. And that resulted in tens of millions of dollars in direct annual savings due to the decrease in fraud. As you might imagine they are a very happy Akamai customer. It's because of such impactful capabilities that the financial services industry is one of our largest and fastest growing verticals. Probably over 500 financial institutions that we service over 400 use our security solutions, including all top 25 U.S. banks and 22 of the top 25 in Europe. Another key differentiator of our security solutions is the enormous volume of data that we see on our platform. By analyzing and processing this data with advanced AI and machine learning algorithms, we can quickly identify malicious entities and then use that information to protect our customers from a wide variety of attacks. For example, with the addition of Nominum, we now process 1.7 trillion domain name system or DNS queries per day for over 100 million domains. The DNS name space evolves quite rapidly, especially for domain that are associated with botnets and other malicious activity. On a typical day, we identify 5 million new core domains, many of which turn out to be malicious and we block access to over 1 million malicious domain every day. Thereby helping to keeping our customers and their end users safe. Our suite of security solutions was an important contributor to the revenue on our web division. In Q1 web division customers generated $353 million in revenue, up 16% over Q1 of last year. Web division revenue was also driven by the continued success of our flagship Buyon [ph] Solution, along with our new Image Manager and Digital Performance Management Solutions. Across the company, we now have 1,000 customers using our new solutions. The revenue from these solutions in Q1 was more than triple the revenue from Q1 of last year and is now on a run rate of well over $100 million per year. Revenue for our Media and Carrier Division in Q1 was $316 million, up 6% over Q1 of last year. This much improved result is the consequence of the work we have been doing to improve our traffic share in the top 250 global media accounts. In fact traffic growth on the Akamai platform overall in Q1 accelerated over the already high rates that we saw in the second half of last year and it remains well beyond reported industry norms. The traffic growth in Q1 was especially strong in our OTT and gaming sectors. Akamai has delivered several notable sporting events so far in 2018, including most all of the major sporting events online. In one of the most exciting Akamai set a record for concurrent views of a sporting event with our delivery of the Indian Premier Leagues Cricket match on April 25th. As the exclusive CDN for Hotstar, India’s largest premium streaming platform. We delivered video to nearly 7 million concurrent viewers, 98% of whom were using mobile devices and 89% of whom connected through a cellular network. We believe this is the model for the future, media companies relying on Akamai for secured delivery of high quality video streams to many millions and someday potentially billions of mobile devices around the world. In summary, I am very pleased with our Q1 results, it was great to see the continued very strong performance of our security business, which now has a revenue run rate of $600 million per year. The much improved performance and growth of our Media and Carrier Division, the acceleration in revenue growth for the company overall, the improvement in margins and the very strong growth in the bottom-line. As I look to the future, I believe that Akamai has tremendous potential and that we’re well positioned to capitalize on significant market opportunities in areas such as cloud security, mobile and web performance management, OTT video streaming and the internet of things. We are continuing to invest in innovation and new capabilities to drive future revenue growth, while also having the discipline to effectively manage costs and our effort to further expand margins and profitability. We believe that our unique technology, unparalleled edge platform, strong relationships with the world’s carriers and major enterprises, highly talented and hardworking employee base, strong corporate culture and our relentless and personalized attention to customers and partners all provide Akamai with a foundation for a very bright future that creates value for our shareholders, customers and employees. I’ll now turn the call over to Jim, to review our financials and guidance for the year. Jim?
James Benson: Thank you, Tom, and good afternoon, everyone. Before I get into the highlights of our Q1 results, I want to start with three quick financial housekeeping reminders. First, as I mentioned on last quarter’s call, we adopted the new revenue accounting standard ASC 606 effective Q1, 2018. We adopted ASC 606 on a full retrospective basis. So on today's financial results, all prior periods comply with the new rules. And we told you in February, the new accounting standard dose not materially impact Akamai’s historical or projected revenue and income statement. And for clarity on the modest impact of the changes, we've provided detailed reconciliations on the Investor Relations section of the Akamai website. The new standard primarily impacts revenue timing of a few license software customer contracts, a very small component of our revenue. And while immaterial on a full-year basis, the new standard may result in modest quarter-to-quarter revenue fluctuations. The new revenue standard also requires us to defer and amortize certain sales commission costs. And as I mentioned on our last call, our Q1 and full year 2018 guidance projections reflected the impact of the new revenue standard. The second housekeeping item pertain to some detailed revenue reporting disclosures. As we outlined in the last call, we are now reporting revenue under a two division customer-centric structure, Web Division and Media and Carrier Division. This divisional dimension is the primary lens through which we drive and report the business. Finally, as we also told you in February, we will no longer be providing a solution category revenue view, because we no longer believe it is the useful measure in understanding our business performance. Especially with the growing overlap between some of our media delivery and web performance product portfolios. We will provide additional visibility into areas of our business that we believe are important to understand as key drivers of our future growth, which is why, we will continue to breakout our Cloud Security Solutions. Now, on to our strong Q1 results. As Tom outlined Akamai had a tremendous first quarter, exceeding the high-end of our guidance on revenues, operating margins and earnings. Q1 revenue came in well above the high-end of our guidance range at $669 million, up 11% year-over-year or 9% in constant currency. And up 11% in constant currency if you exclude the six large internet platform customers, an acceleration over Q4 levels. Revenue growth was strong across the business. With the primary overachievement compared to guidance driven by higher media traffic volumes than we anticipated going into the quarter. We also continue to see rapid growth of our security products across both divisions. Revenue from our Web Division customers was $353 million, up 16% year-over-year or 13% in constant currency. We remained pleased with the strong growth in this division and the expanded product and customer revenue diversification across the company. And our Web Division customers now represent roughly 53% of Akamai's overall revenue. Within our Web Division, we continue to see strong uptake in our new product areas, namely Image Manager, Digital Performance Management and Bot Manager, as well as continued strong growth in our core Kona and Prolexic Cloud Security Solutions. First quarter revenue for total Cloud Security Solutions was $149 million, up 36% year-over-year or 32% in constant currency. Another tremendous quarter of revenue growth and customer adoption of our Cloud Security Solutions globally. Entering the second quarter, our rapidly growing cloud security business now has an annualized revenue run rate of over $600 million and represents over 22% of our total revenues. As Tom mentioned, we believe security presents a tremendous growth opportunity for us and we plan to continue to invest in this area with a focus on further enhancing our product portfolio and extending our go-to-market capabilities. Moving now to our Media and Carrier Division, revenue for this set of customers was $316 million in the quarter, up 6% year-over-year or 4% in constant currency. And up a healthy 8% in constant currency excluding the large Internet Platform Customers. Revenue from the Internet Platform Customers was down from Q4 levels as expected, while revenue and traffic volumes in the rest of the division was strong across all geographies and industry verticals and significantly exceeds our expectations in the quarter. Traffic growth accelerated for the third straight quarter and was particularly robust from our video delivery and gaming customers. And as Tom noted, we also had a number of notable sporty events in the quarter that contributed to the strong traffic and revenue growth, each event with record breaking online audiences. As we’ve highlights on the last several calls, our Media and Carrier division management team has been focused on capturing more traffic share and improving the quality of delivery for the top 250 media customers that account for most of our traffic and revenue. Because of these efforts, traffic growth accelerated and exceeded market growth rates in Q3, Q4 and Q1 and we are now beginning to see the associated revenue acceleration. Moving onto our geographies, sales in our international markets represented 37% of total revenue in Q1, up 2 points from Q4 levels. International revenue was $245 million in the first quarter, up 22% year-over-year or 14% in constant currency, driven by continued strong growth in our Asia Pacific region. Foreign exchange fluctuations had a positive impact on revenue of $17 million on a year-over-year basis and $7 million on a sequential basis. Revenue from our U.S. market was $423 million, up 6% year-over-year and up 9% excluding our large Internet Platform Customers, an acceleration from Q4 levels in our Media Division notably. Moving onto costs, cash gross margin was 77% consistent with Q4 levels and in line with our guidance. GAAP gross margin, which includes both depreciation and stock-based compensation was 65% consistent Q4 levels and also in line with our guidance. Non-GAAP cash operating expenses were $258 million, down $2 million from Q4 levels and about $7 million below our guidance, probably due to higher software capitalization rates and partly due to early traction from our operational efficiency efforts. It is notable that we reduced operating expenses in the quarter, while at the same time absorbing the full quarter impact of the recent Nominum acquisition. Moving now to profitability, adjusted EBITDA for the first quarter was $256 million, up $11 million from Q4 levels. Our adjusted EBITDA margin came in at 38%, an improvement of 1 point from Q4 levels and 2 points above our guidance range, primarily due to strong revenue achievement and the accelerated traction in operational efficiency I just mentioned. Non-GAAP operating income for the first quarter was $167 million, up $8 million from Q4 levels. Non-GAAP operating margin came in at 25%, up 1 point from Q4 levels and 2 points above our guidance range. As our margin expansion in Q1 highlights our efficiency efforts have already positively impacted the P&L and we are working hard to drive further operating margin improvements. Capital expenditures in Q1 excluding equity compensation and capitalized interest expense were $76 million or 11% of revenue. This was $6 million above our guidance for the quarter, due to higher capitalized engineering expenses and the acceleration of some network build out, given the stronger than expected traffic volumes. Moving onto earnings, non-GAAP net income was $136 million or $0.79 of earnings per diluted share, $0.9 above the high end of our guidance range and driven by the combination of revenue performance, reduced operating expenses and a lower tax rate. Taxes included in our non-GAAP earnings were $35 million, based on a Q1 effective tax rate of 21%. This tax rate is a couple of points lower than our guidance due to a higher mix of foreign earnings. Moving onto our GAAP earnings, there were a few large and noteworthy items excluded from our non-GAAP results, but impacting our Q1 GAAP results that I would like to provide some color on. First, as we highlighted in our last call, we recorded an additional $15 million restructuring charge in Q1, bringing our total Q4 and Q1 restructuring charges to $66 million. These charges are related to headcount reductions, facility closures and capitalized software impairments and resulted from decisions to reprioritize certain investment areas that have not achieved the commercial success and return on investment we expected, notably in our Media and Carrier Division. We implemented some of these actions in the middle of the fourth quarter and completed most of the remaining actions in the first quarter. It is important to note these restructuring actions were taken to enables from rebalancing of our investments, divesting in some areas, investing in others, with a goal of positioning the company to meet our long-term objectives of continued growth and scale. The second noteworthy item, impacting our Q1 GAAP results was the decision to settle the long standing legal disputes with Limelight. The terms of the settlement include a roughly $15 million settlement fee paid over five quarterly installments, but recorded in full within our Q1 results. This settlement allow us to finally put these disputes and the associated costs and distraction behind us and instead focus most of our efforts on the strategic priorities in the business. The last item impacting our Q1 GAAP results were some one-time financial and legal advisory services, related to the initiatives associated with our recent collaboration with one of our largest shareholders. Factoring in these various GAAP only items, GAAP net income for the first quarter was $54 million or $0.31 of earnings per diluted share. Now I’ll review our use of capital. We continue to focus on the importance of returning capital to our shareholders. During the quarter we spent $20 million in share repurchases, buying back roughly 300,000 shares. And just last month, our Board of Directors approved an increase in our current share repurchase authorization to $750 million, which we plan to utilize by the end of 2018. Given our strong balance sheet and cash generation, beyond 2018 we intend to continue our share repurchase plan to offset solution from equity compensation plans and at times to opportunistically return more cash to shareholders depending upon business and market condition. As always our overall aims to deploy our capital to achieve favorable return to our investors in a manner that we believe is in the long-term interest of the company and our shareholders. In summary, we are extremely pleased with the revenue acceleration and margin expansion we delivered in Q1 and our momentum exiting the quarter. Moving now to guidance. Looking ahead to the second quarter, we are projecting another strong quarter on the top and bottom lines. We do expect some currency headwinds from the recent strengthening of the U.S dollar over the last couple of weeks. At current spot rates foreign exchange fluctuations are expected to have a negative impact on Q2 revenue of just over $2 million compared to Q1 levels. Coming off a very strong first quarter for Media, from several large gaming releases and sporting events, combined with the foreign exchange headwinds, we are projecting Q2 revenue in the range of $658 million to $670 million. At these revenue levels, we expect cash gross margins of 77% and GAAP gross margins of 65%, consistent with Q1 levels. Q2 non-GAAP operating expenses are projected to be $249 million to $254 million, down from first quarter levels as we see the full quarter benefits from our Q1 operational efficiency and restructuring actions. Factoring in the cash gross margin and operating expense expectations, we anticipate Q2 EBITDA margins of 39%, a 1 point increase from Q1 levels. Moving now to depreciation. We expect non-GAAP depreciation expense to be between $89 million to $92 million. Factoring in this depreciation guidance we expect non-GAAP operating margins of 25% to 26% for Q2, an increase of roughly 1 point from Q1 level. And with the overall revenue and spend configuration I just outlined, we expect Q2 non-GAAP EPS in the range of $0.79 to $0.83. This EPS guidance assumes taxes of roughly $35 million based on an estimated quarterly non-GAAP tax rate of 20% to 21%. This guidance also reflect a fully diluted share count of just over 172 million shares. On CapEx we expect to spend approximately $111 million to $116 million excluding equity compensation in the quarter. This spend is up over Q1 levels, as we expand our network capacity to support the traffic growth that we were expecting on the platform. Looking to the full year, we are anticipating revenue of $2.69 billion to $2.72 billion and at the midpoint an increase of $20 million from our prior outlook. At these revenue levels, we anticipate EBITDA and non-GAAP operating margins of 39% and 25% respectively, an increase of 2 points from our prior outlook, driven by the revenue achievement and accelerated traction in our operational efficiency initiatives. Factoring in these revenue and margin levels and an expected non-GAAP effective tax rate of 20% to 21%, we anticipate non-GAAP earnings per diluted share of $3.15 to $3.25 for full year 2018 and at the midpoint an increase of $0.25 from our prior outlook. As a helpful reference, we will post our Q2 and full year 2018 guidance ranges on the Investor Relations section of our website after this call. In closing, we are very bullish about the opportunities ahead for Akamai. We are confident in our ability to continue to innovate and add new capabilities to drive future revenue growth. While at the same time drive margin and earning expansion in 2018 and beyond, which we believe will add significant shareholder value over both the near-term and long-term. We will be hosting our Annual Analyst Day on June 26th, at the Boston Cambridge Marriott Hotel. And we look forward to sharing more details about our business strategy, market opportunities, product vision and our work to find a path to achieving non-GAAP operating margins of 30% in 2020, while also continuing to invest in the development of new products and capabilities to fuel our future growth. If you can’t join us live that will be webcast by the Akamai platform. Thank you and Tom and I’d take your questions. Operator?
Operator: Certainly. [Operator Instructions] Our first question comes from the line of Mark Mahaney from RBC Capital Markets. Your question please?
Mark Mahaney : Okay, great. Thanks. Just two numbers questions, please. At international growth rate adjusted of 14% that’s solid, but that does show this deceleration over the last two years, I think on an adjusted basis like-for-like basis. So any color there on expectations going forward, were there any unusual items that may have depressed that growth rate? Any way to think about that going forward as to the international side. And then the other numbers question has to do with this revenue from the internet platform customers of about $44 million. There may have been an expectations in the market that that would stabilize around $50 million, you want to talk about if that’s stabilizing currently around these levels as a way to think about what that looks like over the next year or two? Thank you very much.
James Benson: Sure, Mark. So the first on our international growth. I think we're pretty pleased with the international growth of 14%. You are right that that is lower than we saw on 2017. If you look at Q1 of 2017, we had very strong growth rates in Q1 of 2017 of 21%. So this is coming off of a difficult compare. But we expect that our international growth rates to remain kind of in the mid-teens growth rate. So I think we're pleased with international growth, there is nothing notable to comment there. I think we have strong growth in Asia Pacific. We’ve had steady growth in our European markets as well and we expect that to continue. And relative to the internet platform customers. You're right, last year, they were roughly $50 million a quarter. But if you recall, from Q4, 2016 to Q1 of 2017 they declined about $8 million. So they do normally decline sequentially from Q4 to Q1. And so declining from roughly $50 million in Q4 to $44 million was in line with our expectations. And we would expect that they'll probably hover in kind of the low and mid-40s throughout 2018.
Mark Mahaney : Thank you, Jim.
Operator: Thank you. Our next question comes from the line of Keith Weiss from Morgan Stanley. Your question please?
Keith Weiss : Excellent. Thank you guys for taking the question and very nice quarter. I guess one top-line question and one kind of expense question. On the top-line, it sounds like you guys have really seen the volumes around OTT picking up and very strong and different growing Media traffic ahead of our expectations. Can you talk to us a little bit about the pricing side of the equation on how those kind of negotiations are taking place and sort of where pricing is firming out? And then on the OpEx side, it sounds like we're most of the way through -- if I'm hearing it hearing most of the way through of executing the restructuring that you guys talked about in Q4 and into Q1. Am I thinking about that right if that’s sort of most of the actions have already been taken. And if you can give us a little bit more detail in terms of where were you able to find sort of good expense reduction that weren't going to be impactful? And more areas like distribution off the table, do you -- are you comfortable that you saw the same kind of distribution capacity going into some of these newer markets?
James Benson: Sure, let me take that. So your first question around the pricing environment in the Media business. As we’ve said for long time the pricing environment in the Media business remains very competitive, so that hasn't changed. It hasn’t gotten kind of worse or better it's just a very, very competitive pricing environment with alternatives that are out there. And as we mentioned that last year, we saw traffic growth slowing in the first half of 2017 we’ve put a very consorted effort in place to go and drive strong traffic growth and work with customers to tuning contract structures and some of that was through a re-price and some of that was through just a more creative contract vehicle with them to drive more traffic share. And we specifically signaled that at times it takes six to nine months from traffic growth accelerating to seeing revenue acceleration. And so what you saw in Q1 was exactly what we said was going to happen, which was we saw a traffic growth accelerate in Q3 and Q4 and now we're seeing the manifestation of that effort in revenue growth. So we feel pretty good about the progress that we're making in the Media Division. And relative to OpEx, yes we took most of the actions were taken in Q4 and we finished the remaining actions or most of the remaining actions in Q1. But I wouldn't say that that is the end of our operational efficiency efforts that I would say that's the beginning of some of our efficiency efforts there is areas that we're going to drive that I will provide a little bit the more clarity on the upcoming Analysts Day and some of those include continued reductions in facilities. And then there is some areas that we are going to drive around third party vendor savings and then just driving broader efficiency actions in different areas of the business that we have talked about that we've always done a good job of driving costs out of the network we'll continue to do that. So what you'll hear from me in June is I will outline kind of some of our ideas around what's the work we think we can drive to try to find a path back to operating margins of 30% and obviously it’s going to be a glide path. But I would say we're very, very pleased with the traction that we made in Q1 you saw margin expansion, we haven't seen margin expansion for many quarters. We are guiding to have margin expansion happen in Q2 and margin expansion for the full year. So we are pretty pleased with the progress that we're making both from a top-line and on efficiency to drive margin expansion.
Keith Weiss: Excellent, Thank you
Operator: Thank you. Our next question comes from the line of Mike Olson from Piper Jaffray. Your question please.
Michael Olson: Hey, good afternoon. I had two questions if I could, on the first one, I wanted to ask another on OTT maybe just slightly different from the previous question essentially is the OTT inflection point really starting to show itself now for Akamai’s Media business or is it kind of still early days for OTT? And then second, with a more favorable environment for use of international cash, et cetera do you see Akamai getting more aggressive on the M&A front? And if so I'm sure you can't say specifically, but what kinds of add-ons from a high level could we expect you to be looking at? Thanks.
Thomson Leighton: Yes, I don't think we've seen a huge inflection points in OTT traffic, I think there is strong and steady growth and as we talked about, we are certainly growing our market share there. We are growing at a much faster rate in terms of the traffic and that's impart because of the focus of the top 250 media customers impart because of the quality levels, we can deliver or impart because of our unique scale. So there is a lot of reasons for that, but I'd say it’s early days compared to where this can ultimately go. In terms of M&A I will let Jim talk about the cash, but our approach to M&A I think is the same as it's been. We're interested in companies that have technology that we can embed in our platform, bring to bear for the benefit of our customers, may be an important product adjacency, for example Prolexic, Cyberfend is another example there. So the kinds of things that we've been doing in M&A I think is what you'd see us continue to do in the future and Jim would you like to talk about cash?
James Benson: Yes, I mean, we have $1.3 billion of cash on the balance sheet, we're a significant generator of free cash flow. So we have a strong balance sheet and a cash flow to be able to do M&A and you’ve seen us do that. And as Tom said that those are areas we're going to continue to look at. And as far as our cash profile most of our cash is in the U.S. And so we're not in a fit position, where we have to repatriate a bunch of cash that’s sitting offshore. Most of our cash is actually in the U.S. I think we have roughly $200 million of cash offshore. So we're in a good position to continue to execute against the priorities of the business and M&A is certainly an area that we're going to be active in looking. And as we've seen and we have told you in the past we are active shoppers but disciplined buyers. We did two acquisitions in 2017 both product adjacency areas or one very much a product adjacency area and one kind of somewhat in our sweet spot with recursive DNS, but improving our security capability. So, you should expect that we're going to be continue to be active there.
Michael Olson: Thank you.
Operator: Thank you. Your next question comes from the line of Vijay Bhagavath from Deutsche Bank. Your question please.
Vijay Bhagavath : Good afternoon, congratulations again from my end. My question to you Tom is, you do have live events that kind of perturb traffic mix and also growth rates as you know and then. So even if you look at the current results, how would you pass live versus non-live? And when I'm coming from is this helps us understand the sustainable growth rate in media delivery with or without live event? Thank you.
Thomson Leighton: Well, as we talked about before, live events when you have a lot of them can be helpful in boosting overall revenue, but the majority of OTT traffic and revenue is on demand and linear as a component there as well. So, live events are exciting, you see a lot of new technology there, you see the new traffic records take place there. They’re very important to a lot of the big media companies, they generally trying Akamai there because of the scale and the quality in our help getting a really good event to take place. But the lion share of the revenue is the day-to-day, the video on demand. And that’s an area we put a lot of effort into as well.
Vijay Bhagavath : And my quick follow on would be on Enterprise Security, $100 million of Enterprise Security revenue, just for example, the reasonable target in terms of modeling. How would you look at enterprise security as contributing to your overall security business? Thank you.
Thomson Leighton: Well, as we talked about it's early days for our Enterprise Security products, their Enterprise Application Access and Enterprise Threat Protector. We think there is a very bright future for enterprise security offerings and for success it will be well beyond $100 million in revenue. We now are up to 100 customers, so very early days there. Very pleased to see the traction that our roadmap and viewpoint is having with customers around the notions of zero plus and future of enterprise networking and security. But still early days there, but optimistic in terms of the future.
Vijay Bhagavath : Perfect, congratulations again.
Thomson Leighton: Thank you.
Operator: Thank you. Our next question comes from the line of Siti Panigrahi from Wells Fargo. Your question please.
Siti Panigrahi : Hey, thanks for taking my question. Just on the security side, that's pretty strong accelerate to 36%. Just wondering, how much was the contribution from Nominum in this quarter? And also when do you expect some kind of meaningful contribution from products like Enterprise Application Access, I mean the -- and Bot Manager? Or also like how much was the contribution from the Bot Manager? Just trying to understand the Prolexic and Kona versus the newer product contribution?
James Benson: Yes, we continue to have strong growth in call the core security business kind of excluding Nominum that we've been growing that in the high 20s and you kind of have a similar growth rate this quarter. Nominum was about $10 million I think of revenue in the quarter, we had a good Nominum quarter. So, Nominum was certainly a contributor. But as Tom has talk about that, we're doing well in security across all of the product categories. So, we're doing well with Kona Site Defender, we're doing well with Prolexic and we're doing particularly well on some of the new product areas Bot Manager being one, Tom talked about it in the last call, talked about it again now that Bot Manager actually is becoming a meaningful contributor for revenue in the security business. So, we're very bullish about the security business that I'd say the growth rates that we’ve seen here, we think we can continue to grow the security business in the high 20s, low 30s for the reminder of the year. So, we're pretty bullish about the opportunities in security both this year and beyond.
Thomson Leighton: Let me just add. Nominum is important to us for beyond just the direct revenue and of course the carrier relationships. Because of Nominum, we now see an enormous number of the DNS transactions. And we're in a unique position to identify the botnets and malicious activities close to real-time. And that's really useful for making our other security products where we're selling directly to enterprises be a lot stronger in terms of identifying malicious activities in particular Enterprise Threat Protector, which we can now leverage the data and the knowledge about the bad entities in Enterprise Threat Protector. So there is indirect benefits as well as it really as you go forward I think in cyber security the access to the data being able to process at a near real time we have the latest in AI and machine learning capabilities gives us a great leg up on potential competition.
Siti Panigrahi : That’s great color. Just a quick follow-up, how much was the SOASTA contribution this quarter in Q1?
Thomson Leighton: I mean, we are not going to -- we don’t break those amounts separately that’s SOASTA get sold across both of our divisions, I don’t recall the exact amount for SOASTA. But I would say that across all of the new product areas SOASTA being one of them. As Tom mentioned, the new product area that we’ve launched within the last kind of 12 to 15 months now are well over $100 million annualize run rate. So we’re very pleased with the innovation that you’ve see in the company, some of it come through M&A, but a lot of it is come through just organic innovation that we’ve driven that is now becoming a meaningful contributor to the Akamai revenue stream.
Siti Panigrahi : Perfect, thank you.
Operator: Thank you. Our next question comes from the line of Brad Zelnick from Credit Suisse. Your question please.
Brad Zelnick: Excellent and congratulations on a great quarter guys. I think I have got one for Tom and one for Jim. For Tom, some of your smaller competitors just recently in the last quarter or so introduced the ability to run code at the network edge, is this something you need to offer to be competitive and how do you think about that opportunity?
Thomson Leighton: Yes, we’ve done that for a long time, really long time. Now as we -- and we continue to work in that area particularly as we support non-HTTP protocols, as we support containers at the edge for IoT, kinds of services. But that’s not a new thing. I think some of the applications coming in IoT are pretty exciting that we’ll probably talk more about that at the Investor Day.
Brad Zelnick: Appreciate the perspective. And Jim, as we look at the actions that you took last year to capture more traffic share in Media, they are clearly paying off, you have now seen accelerated traffic growth the last few quarters. But how should we think about the duration of that benefit, you talk about a focus on the top 250 accounts, have all of those accounts been restructured and or is there still some way to go like that we get to a point where you anniversary the benefit. How do we think about the timing and duration benefit?
James Benson: Yes, I mean, you are always new on customer, I’d say the majority of the customers that we thought to kind of reprice we have already done. We did in the back half of last year and a little bit in Q1. But you got to remember that what drives the Media business is traffic volumes. And so, yes, there is an element of anniversarying kind of agreements, but what you want to drive in the Media business, because the media is about traffic and price. So if you want the customer on the platform and you want the customer to push as much traffic volumes as possible. So do you that through giving them the price point and delivering the best performance and quality. And so, by doing that, we believe we’re in a good position, focusing on these top 250 customers and also focusing on maybe new emerging customers that we think are going to be big traffic pushers. And just making sure that again they have the right price point and they have the right contract structure in place. And we think the combination of those two things are going to allow the Media business to continue to grow. Now as we’ve said in the past the Media business is variable because the nature of traffic is variable. We had a good quarter this quarter, we had a good quarter in Q4 and in Q3. Some of this quarter it was stronger across the board, but some of this quarter as I mentioned, we had a very, very strong gaming quarter, there were some gaming releases in the quarter. We had a very strong quarter as Tom mentioned around video delivery, some of that video delivery growth that was really strong came from these major sporting events that we mentioned. And while they are not by themselves a huge contributor to revenue, they do contribute especially large sporting events like the Olympics the last couple of week time period. So, we are pretty bullish on the Media business, on a long-term if you look at this thing over a multiple kind of years, this has proven to be a consistent revenue contributor and we think that actually the recovery we have seen here and the focus that we have are going to continue to fuel growth in the Media business going forward.
Brad Zelnick: Thanks very much and congrats again.
Operator: Thank you. Our next question comes from the line of Sameet Sinha from B. Riley FBR. Your question please.
Sameet Sinha: Yes, thank you very much. I am going to have two questions here. So, first one, in terms of cost savings, Jim can you help us think about the initiatives that you put into place in Q4, Q1 you will obviously have some savings because you're not mitigating against Limelight anymore? And then also if you can add, one of the arrangements you had with your activist investor was to hire a consulting firm to look more into these. Can you help us think -- can you tell us whether you -- it’s already been done where it's in the process or if they are in the process of kind of giving their recommendations? And my second question is, you have spoken about OTT, gaming I guess sports is part of OTT or video. So this -- I think this should be a good growth driver for the next couple of years, can you help us think about long-term what other applications are used cases are there that can leverage your network so we can get a kind of good sense of what are the growth drivers longer term?
James Benson: Well, I will let Tom comment on the second one. But on the cost savings again kind of similar question to the gentleman that asked a few questions before, we took some action in Q4, we took some further actions in Q1 again the employee actions are largely behind us. The actions are certainly much, much more that though that there is actions we are taking around a bunch of different areas. And I mentioned facilities being one, third-party vendor savings being another. We're going to continue to drive those areas, in additional to areas around driving more costs out of the network, being able to scale better on the network. And I would say relative to some of the announcements that we made in March with the settlement with Elliott that effectively what we talked about was that we were going to form a finance community for the company for the Board that was going to oversee the work we're trying to drive to find a path or see if we could find a path to drive operating margin to 30% in 2020. One of those things was to identify see if we can get a third-party consultant to help us. We have already made a selection on the consultant they have not yet begun they're going to begin this month. And so the work and the progress that we've made to-date is largely been driven by the actions and initiatives we took, really beginning in Q4 continuing in Q1, I think the work that we're going to do going forward are what are the areas that we can be smart about driving and scaling the business without doing anything that doesn't impact revenue growth. We want to make sure we're making the right investments in the business to fuel growth for the company. We have talked about a lot of areas already in the call, new product innovation areas that are fueling the growth for the company, making revenue much more diversified for the company, revenues much more diversified now by customers, it's much more diversified now by product. We think that's important for the long-term. And we're going to continue to make those investments, while we're trying to drive initiatives that drive scale for the business and we think we can do both.
Thomson Leighton: To your second question, we're just in the beginning with OTT and online gaming. We talk about some of these events that have still single-digit million concurrent viewers, tens of terabits a second of traffic, teens really. And those numbers can grow by one to two orders of magnitude so huge potential future growth there. So it's not the kind of thing that I think about OTT and gaming I am saying okay, that’s done. We're just at the very beginning there and there's a lot of innovation that still we are working on to be able to deliver at enormous scales and make that be affordable, make it be really high quality and secure. In terms of things that are totally different and in the future, I think IoT is a very exciting area as billions of smart devices get connected probably not communicating using ATTP, but need to communicate you need real time command and control, data aggregation alerting these are things that Akamai is really good at. Having compute at the edge close to the device again something that Akamai is really good at. And we are probably be talking more about that at our Investor Day in June. But that's an area that I think we have a great future in, but really, really early days and an area that we're investing in.
Operator: Thank you. Our next question comes from the line Tim Horan from Oppenheimer. Your question please.
Tim Horan: Thanks, guys. Two questions, on the cloud based real time multiplayer games, how well designed or equipped is your network to handle that? And do you have many competitors there? And then secondly, on the security side, maybe complicated question, but you have a bunch of security products, but is this the maybe half of the potential products that you could have in security or a quarter of the potential products. So just trying to get a sense of how much can you expand that portfolio of service offerings that you have in security side. Thanks.
Thomson Leighton: Sure. In the multiplayer game today with our gaming business the revenue is primarily derived from handling the software downloads and updates to the devices that's the large majority of the revenue. I think as you look to the future actually handling the metadata around the games is a very interesting challenge especially as this gets done more in the cloud and maybe less on individual devices, that’s an area that we're certainly exploring. Whether we've actually be delivering the video for a game where it’s not being generated locally. I don't know we certainly have that capability that would come down to the economics. But all of the controller infrastructure associated and again this has to do with the Internet of Things as a whole. Gaming is one example of that that's an area where we've got I think a lot of value to add. In terms of the security products, I would say for defending websites and applications against denial of service attacks and application layer attacks we're really doing a great job there, pretty unique in being able to offer the end-to-end solution that really works. Now of course, the bad guys are always upping their game and that's I think why our Bot Management Solution is being so successful today. Because it really can stop the account takers. And that has enormous value to a lot of our customers. So there is a lot of work to keep up and doing that and staying ahead of the attackers. Now a whole new area where we're just entering is in the Enterprise Security. And that's blocking malware, protecting the enterprise, employees and data, it's enabling Enterprise Security in a world of zero trust, you just can't rely on your firewall anymore and you can't trust the entities inside the corporate network. That is a transformation of enterprise networking and security that is just starting. And I think that is an enormous future market, you just see all the damage being caused today by the data breaches. Clearly, there is no end-to-end solution there today that really you can rely on or you wouldn't be having all these data breaches. And that's an area, that we think overtime, we can have a comprehensive solution. Today, we're just in the first products to help combat that, it's an area we're making investments towards being able to really support an enterprise as they move beyond the traditional notion of a firewall and to protect them in a world of zero trust. And that has very large, I think a very large potential in market.
Tim Horan: And just lastly on the clarify on the volumes. Are you back to kind of peak volume growth levels you were three, four years ago. Do you think you can get back there or maybe just a sense of where you all where be troughed out to where you were at peak a few years ago? Or kind of where you think that can go?
Thomson Leighton: You mean the traffic growth levels?
Tim Horan: Yes.
Thomson Leighton: Yes, no our traffic growth has accelerated substantially and is at a very strong cliff now and well ahead of other reports you can see about traffic growth. And especially in OTT, which is where we're putting a lot of effort. So I think we're very pleased to see our traffic growth rates.
Tim Horan: Thank you.
Operator: Thank you. Our next question comes from the line of James Breen from William Blair. Your question please?
James Breen: Thanks for taking the question. Just can you talk about in terms of the growth in customer base? Is the growth coming from existing customers or are you adding new logos? And have you changed, how you go to market whether it's with the direct sales force or through channels that has helped in terms of the acceleration of revenue? Thanks.
James Benson: Yes, I mean, I would say that you can -- most of the growth that we're seeing is from our existing customer base. We've made good progress on the new customer area. Actually from a new customer bookings perspective we actually had a strong quarter in the first quarter that I think we talked to you guys in the past that we've been tuning the go to market model to try to drive better new customer penetration. And I'd say early days just we're making some traction in that area, I think we have more work to do. That’s notable in our Web Division where generating new customers is really important to drive growth not just through expanding with existing customers, but landing new customers. And we announced I think it was maybe just a few weeks ago that we brought on a new leader for our Web Division to run sales Scott Lovett, who has tremendous experience in driving both new customer penetration as well as kind of land and expand models. And so we are happy to have him as part of Akamai driving kind of the Web Division activities. And we are pretty bullish that we will make progress both in new customer penetration and in existing customer kind of penetration of our existing offerings.
James Breen: Great, thank you.
Operator: Thank you. Our next question comes from the line of Heather Bellini with Goldman Sachs. Your question please?
Heather Bellini: Hi. I just had a follow-up on the seasonality of the Media business, which the quarter saw much better seasonal trends than you normally see in a Q1. I guess, I'm wondering if you could share with us how we should think about the seasonality trends for this segment as the rest of the year shapes out. And how much of that uptick in better seasonality as a result of those fine tuning of the contracts that you mentioned? Thank you.
James Benson: Hey, good question. You're right, we actually had a great Q1 relative to kind of seasonal pattern, usually see seasonally Q4 to Q1 the Media business softens a bit. And I think all the efforts that we put in place over the last several quarters you're starting to see the benefit of that and you saw that manifest itself Q1. And that was including kind of the internet platform customers coming down. So very, very strong kind of results. Now we talk about a lot of them that I think in general we have made good traction across all of our verticals, we had a particularly strong gaming quarter, I think as we talked about in the past the gaming releases don't happen linearly throughout the year. So we had a good gaming quarter in Q1, continued good quarter around OTT. For sure the sporting events did have some contribution. So is an element a Q1 that more sporting events happened this Q1 and typical, you don't have an Olympics every year that being maybe one example. But as far as the seasonal patterns through the year, I think, you'll probably feel a little bit Q1 to Q2, maybe a little bit less seasonal that usually I think media grows sequentially Q1, Q2 pretty significantly, but because of the strong Q1 you won't see as much of that. The summer will be typical, you will see patterns in the summer where Media from Q2 to Q3 will kind of go down in volume just because there is less consumption of content in the summer months. And then you'll see in Q4 a big uptick from Q3 to Q4 relative to the holiday season, the holiday season doesn't affect just commerce, but it also affects our Media business as well. So call it maybe a little bit less seasonal Q1 to Q2, typical seasonality Q2 to Q3 with it coming down and then a big Q4.
Heather Bellini: And then just a follow-up, is the World Cup a bigger revenue event for you guys than the Olympics typically?
James Benson: No, no, it isn't. And actually the World Cup straddles Heather over two quarters. And so. it’s actually the funny part of it is it all depends upon the team to be very frank as far as viewing and who is winning. And so to some extent it depends upon that, but it is -- it doesn't drive the same level of traffic volumes, it does as part of the international markets in particular they tend to be bigger consumers of the World Cup in the U.S. market. And so you'll see that a bit, but it is -- it doesn't have the same impact to say in Olympics.
Heather Bellini: Okay, thank you.
Operator: Thank you. Our next question comes from the line of Sterling Auty from JPMorgan. Your question please.
Sterling Auty: Yes, thanks. Hi, guys. Back to the platform customer contribution in the quarter the down 14%, was any of that exacerbated by contract renewals? And are we kind of freeing clear of those for the time being?
James Benson: Well, we're always renewing customers and we did renew our largest customer in the first quarter and they've been contracted now another two years. And so the good news is that our largest customer is now secure on the Akamai platform for the next two years. And I think the other piece of it is revenue came in pretty much in line with what we expected, we expected Q4 to Q1 to come down. And as I said we expect this customer base to be in the low to mid-40s for the remainder of the year.
Sterling Auty: Alright, great. And then you talked about the other actions that you're looking to go forward and complete. How do we think about how those savings layer in? Because I imagine some of them are international, some of them are domestic, and probably all those come out at once. So what should we think about in terms of the pace of those savings getting layered into the expense lines?
James Benson: So you're talking about -- they are not expense savings. I mean, as you can imagine every quarter is a bit unique, that some quarter you have more events when I say events internal events. It could be an Edge Conference or customer conference or a customer conference. So spending is initially linear. But I think what you can expect is that we're going to drive or try to drive operating margin expansion between now and the end of the year. So I think maybe by the end of the year Q4, we'll probably be at our peak operating margins for the year. Some of that is due to the fact that Q4 has an uptick in revenue from Q3 to Q4. And then I think again, I'll outline more of this in late June when we have our Analyst Day that getting back to 30% margins or striving to get back to 30% margins by 2020 is going to happen overtime. And it's not just linear like every quarter progresses up. You might have -- it might pop a point a quarter and then it flat lines or it may be goes down. But I think you're going to see the general trajectory of operating margins expand from 2017 to 2018 from 2018 to 2019 and then 2019 to 2020. And we're going to work like how to try to find a path to find 30% margin by 2020.
Sterling Auty: Great, thank you.
Operator: Thank you. Our next question comes from the line of Michael Turits from Raymond James. Your question please?
Michael Turits: Hey guys. I'd like to come back to Enterprise Security both on the product side and on the go to market side. First of all on the product side, Tom, you mentioned Network Security where you don’t have that much going on right now. I was wondering if you can drill down on that especially around Secure Web Gateway, which I believe is something that you've acquired a few years ago and lately we've had a company on security come public there is scalar so very high profile. Plus more specifically on Network Security and Secure Web Gateway. And then a little bit more on go-to-market. since that's not a place where you have a traditional channel. What do you need to do in order to really effectively go-to-market in that very, very different kind of a product area?
Thomson Leighton: Yes. So ,we have today Enterprise Application Access and Enterprise Threat Protector, the next version of Enterprise Threat Protector will incorporate Secure Web Gateway functionality and strengthening that. And I think the foundation of the zero trust model to Protect Enterprise is that starts with Enterprise Application Access where the access to the internal application by the employee or the consultant would come through Akamai. And then we layer on top of that products like Kona Site Defender and Bot Manager for that matter. So that we apply the same level of defenses to your internal apps from your internal employees as you would for an external app that clearly is a subject to attack by any entity. And that's based on the belief that today the bad guys can get around pretty much any of the traditional enterprise defenses. Now in terms of go-to-market it's one of the reasons we're so excited to have Scot Lovett, join us to run our global web sales is that he has got a lot of experience in selling a wide variety of security products both from McAfee and from Cisco. And he's engaging very quickly there and I'm excited about his ability to help us in terms of helping establish that industry. It's very early days in the next generation of Enterprise Security, and I think he'll be a great leader in going into market there.
Michael Turits: Great, thanks. And great quarter.
Thomson Leighton: Thank you.
Operator: Thank you. Our next question comes from the line of Jeff Kvaal from Nomura Instinet. Your question please?
Jeff Kvaal: Yes, thank you. Two questions I think, one is would you mind refreshing us on where you are in the security attach rates to your Enterprise business the performance business? And where you think that may take us in the next few quarters or years?
James Benson: Yes, well our security attach rates now for the company across all customers is around a little bit less than 40%. And so there are a long way to go now that wasn't that long ago I would tell you that number was 20% to 25%. So, we're continuing to make steady progress in security attach rate. It's also important to note that when we talk about attach rate, that's attaching at least one security product. And as we talked about on this call, our security products are growing a number. And so, it's not just about attaching one security product, now it's even for customers of the 40% that are buying security is not -- there is only a smaller percentage of them that are buying multiple security products. And so, the good news is we can sell more security products to our customers that already buy securities and there are a lot of customers that we don't -- that are already in the install base that haven’t bought a security product. Not to mention, the ability to sell security outside of the installed base of our customers. And so we can continue to drive both expand rates within our existing customers and new customer attach rates. So, I think it'll continue to be our largest growing and fastest growing product category for the company. It'll probably grow in call the high 20s, low 30s this year I think it will continue to be again a 20s grower for the company for the near future.
Jeff Kvaal: Okay, thank you. And then secondly there has been a lot of highly purposive weakness in linear video subscriptions at some of the cable companies and other satellite firms. How correlated do you think the performance of those subscriptions, subscriptions declined, declines our with your own Media business?
Thomson Leighton: Well, obviously the more people that are subscribing and watching video online are the greater potential market for Akamai. And we have a large share of that market. So, our business as we’ve talk about is rapidly growing in terms of overall traffic and now growing in terms of revenue. But the more video subscriptions there are, the better that is generally speaking for Akamai.
Jeff Kvaal: Do you see that right away or is that spread that over a few quarters? How does that relationship work?
Thomson Leighton: I think pretty near-term as people subscribe and start watching traffic would flow across our platform and for carrying it and often we are. And then we'd be billing for that traffic as it flow. So, I would say it's very close correlation in terms of people watching and ultimate revenue to Akamai.
Jeff Kvaal: Thank you both very much.
Operator: Thank you. Our next question comes from the line of Jeff Van Rhee from Craig-Hallum. Your question please.
Jeff Van Rhee : Great. Just one for me guys, first congrats on the quarter, just looks great across the board. On the CapEx front, are you came in a little heavier this quarter you certainly guiding to some pretty meaningful CapEx. Just spend a minute and talk about how you think about maybe the year? And in particular just sort of your visibility and your through process you put together the CapEx plan for the forward quarter and the forward year. How much can you see, how do you see and how much is a leap of phase based on sort of higher level modeling that you might do? Just a little visibility there would help.
Thomson Leighton: It's a good question, I mean just to remind folks, that obviously of our CapEx that our CapEx is in three areas, there is network CapEx, which I think is what you are talking about. Then there is capitalized software and there is other CapEx for say facilities in IT. We spent about 17% of revenue, 16% to 17% of revenue on CapEx. Call it 6% of that is network CapEx, roughly 7% is capitalize software and the reminder facilities in IT. But on the network CapEx front, as I mentioned in my kind of prepared remarks that we did kind of spend a little bit more than we had guided in Q1 and that was very purposeful. And it was purposeful because you saw we had a great media quarter. And what we did was we began more CapEx purchases in the quarter. I guided to Q2 that you'll see that that step up in CapEx in Q2. And you can expect that we’ll continue to build out for the reminder of the year. We'll stay within the call the 16% or 17% of revenue number. So, for the full year our CapEx will be about 16% or 17%. And the way we think about network CapEx, we've reasonable visibility given the efforts that we've done and on the top 250 customers, call it within a range. And what we try to do is we're going to try to build out the network support the higher end of a range that you expect to have from those customers, so that you can make sure you have to pass through the available for them. And that's the way we've done it, and that's the way we'll continue to do it, which means we should probably be within -- and those ranges are roughly where we've been historically call it somewhere between 15% and 17% of revenue, and that's probably we’ll be this year.
Jeff Van Rhee : And I guess just to follow on that in long-term as you see your business evolving certainly with the enterprise push as well as the strengthen in security. Is there anything inherent in the structure of the business going forward that you think drives that CapEx number higher or lower if we look over sort of intermediate to long-term?
Thomson Leighton: Yes, I think the intermediate term we are going to stay probably in the 15% to 17% range. That's about what I except that it actually may have given all the innovation we're doing actually might even see a bit of an uptick in capitalized software. You might see it balancing it a little bit in network. And one thing is probably important to note and I will talk about this more at the Investor Summit, but we're building out or will be building out a new corporate headquarters here in Cambridge. And so you'll see some onetime CapEx here later in 2018 and much more notably in 2019 as a result of building out the headquarters. But I’d say in general 15% to 17% of revenues is what you'd expect for CapEx.
Jeff Van Rhee : Got it, thank you.
Operator: Thank you. Our next question comes from the line of Will Power from Baird. Your question please.
Will Power: Great, thanks. Nice job on the margins in the quarter. I guess question is as you look forward, with 38% EBITDA margin in Q1, guiding to 39% in Q2, is there any reason that wouldn’t continue to uptick in Q3 and Q4 I think for a previous question you've referenced some deposit leverage in Q4 and I guess what I'm getting as built on your 39% for the year could be conservative. So just trying to understand kind of the second half outlook?
James Benson: As I mentioned, it is in the straight line as far as every quarter that it just is going tick up. I think the third quarter in particular will potentially be a more difficult quarter for the company. It is a quarter that the company's does a seasonal kind of salary increase for its employee. And so you'll see a natural lift and standing from Q2 to Q3, let me go through that. And so, I think that 39% EBITDA, 25% operating margins, felt about right for us. I would say if we've tracking more to 26%, which is the high of our range in Q2, might you be able to round for the full year to 26% maybe. I'd say that I don't -- I think we're more comfortable guidance to 39% EBITDA or 25% operating margin. We don't want to get too far ahead of ourselves here that it is -- like I say it isn’t quite it grows a point every quarter just doesn’t quite work that way. But I think we're confident that by the end of the year, you'll be exiting at the highest operating margin level for the company. And you’ll have that going into 2019 and then we have work to do in 2019 as well.
Will Power: Okay.
Tom Barth: Operator we have time for one more -- sorry about that, we've time for one more question operator.
Operator: Okay. [Operator Instructions] And I'm not showing any further questions at this time. I would like to turn the program back to Tom Barth.
Tom Barth: Thank you, Jonathan. In closing we'll be presenting at several investor conferences in May and June and as Tom and Jim have mentioned holding our Analysts Day here in Cambridge on June 26th. Details of these can be found on the Investor Relations section of akamai.com. And thank you for join us and have a nice evening.
Operator: Thank you, ladies and gentlemen for your participating in today's conference. This does conclude the program. You may all disconnect. Good day.